Operator: Good morning, and welcome to the Parker-Hannifin Corporation's Fiscal 2026 Second Quarter Earnings Conference Call and Webcast. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to turn the call over to Todd Leombruno, Chief Financial Officer. Please go ahead.
Todd Leombruno: Thank you, Katie. Good morning, everyone, and thank you for joining Parker's fiscal year 2026 second quarter earnings release webcast. As Katie said, this is Todd Leombruno, Chief Financial Officer speaking. And with me today is Jenny Parmentier, our Chairman and Chief Executive Officer. We both appreciate your interest in Parker as well as your time today. Before we begin the call, I'd like to call your attention to our disclosures on forward-looking projections and non-GAAP financial measures, that is on Slide 2. Items listed here could cause actual results to vary from our forecast, our press release, this presentation and reconciliations for all non-GAAP measures were released this morning and are available under the Investors section on parker.com. The agenda for the call today has Jenny starting with an overview of our record FY '26 second quarter performance. She then will reiterate the strength of our interconnected technologies. In this quarter, she's going to highlight the distinct value we bring to one of our market verticals. That is the off-highway market. Jenny will also make a few comments on the recently announced agreement to acquire Filtration Group Corporation, and then I'll follow with some details on our strong second quarter financial results. We will both provide some details on increase to our guidance that we released this morning. And then we'll move on to Q&A, and we'll try to address as many questions as possible within an hour. We know it's a busy day to everyone, so we will stick to the 1-hour time slot. Now I call your attention to Slide #3. And Jenny, I'll hand it over to you.
Jennifer Parmentier: Thank you, Todd, and thank you to everyone for attending the call today. Q2 was another great quarter where our team and our strategy demonstrated our ability to compound performance. We achieved top quartile safety performance with an 8% reduction in our recordable incident rate. This performance is aligned with our goal to be the safest industrial company in the world. Our team delivered record Q2 sales of $5.2 billion, organic growth of 6.6% and 150 basis points of margin expansion, resulting in 27.1% adjusted segment operating margin. Adjusted earnings per share grew 17%, and cash flow from operations was $1.6 billion. And in the quarter, we announced the acquisition of Filtration Group Corporation. Moving to Slide 4. Many of you on the call today have seen this slide before. Why we win? The Win Strategy is our business system. We have innovative products that solve customer problems. Our application engineers provide the technical expertise that creates a competitive advantage and our distribution network serves global aftermarket and small to mid-sized OEMs. Today, I would like to highlight the interconnected technologies that provide efficient solutions for our customers across all of our market verticals. I'm on Slide 5 now. We have the #1 position in the $145 billion motion and control industry, a growing space where we continue to gain share. These six market verticals represent greater than 90% of the company's revenue. We have a focused portfolio, creating distinct value for our customers. Our powerhouse of interconnected solutions cuts across these market verticals and gives us a clear competitive advantage. 2/3 of our revenue comes from customers who buy four or more technologies, and our growth is focused on faster growing, longer cycle markets and secular trends. Moving to Slide 6. On this slide, I would like to highlight how our interconnect technologies come to life in the off-highway market vertical. Parker is a market-leading provider of highly engineered solutions for equipment used in construction, agriculture and mining applications. Our comprehensive offering of interconnected technologies, deep application expertise and embedded engineering relationships with OEMs are key to our success. We win with innovative and differentiated product technology, subsystems and full system capabilities designed to increase the capability and productivity of our customers. Our global footprint allows for in-region delivery and expertise for OEMs, and our extensive distribution network provides aftermarket support for end users. I'm now on Slide 7. We are making continued progress on the Filtration Group acquisition. Integration planning is underway using our proven integration playbook. We expect to close in 6 to 12 months from our November announcement date. This is a great company with a great culture, and we really look forward to welcoming everyone to the Parker team. The acquisition of Filtration Group adds complementary and proprietary technologies for critical applications, while expanding our presence in life sciences, HVAC and refrigeration and implant industrial market verticals. The combination of Parker Filtration and Filtration group creates one of the largest global industrial filtration businesses and increases Parker Filtration aftermarket sales by 500 basis points. We will leverage our business system, the Win Strategy to achieve approximately $220 million in cost synergies, and we expect this deal to meet our disciplined acquisition criteria of being accretive to organic growth, synergized EBITDA margin, adjusted EPS and cash flow. This strategic transaction continues our investment in high-quality businesses that continue to transform our portfolio, accelerate sales growth, improve profitability and drive shareholder value. Moving to Slide 8. CLARCOR, LORD, Exotic, and Meggitt have been a big part of our transformation. Curtis is still early days, and as I just mentioned, we are very excited about Filtration Group. Over the time period you see on this slide, we have compounded EPS at 16%, and approximately 60% of this has come from the wind strategy and our legacy businesses, while approximately 40% has come from the acquisitions. The acquisition of Filtration Group will continue our track record of accretive acquisitions. I'll turn it back to Todd to review the second quarter highlights.
Todd Leombruno: Thank you, Jenny. This was another strong quarter of record performance. I'm on Slide 10, and we'll start with just a summary of the Q2 results. We are proud to have once again set new records for sales, adjusted segment operating margin, EBITDA, net income and EPS. Sales were up 9% versus prior. Organic growth was positive at nearly 7%. Currency was favorable 2%. Acquisitions were favorable by 1.5%, and divestitures were a 1% headwind. Just to note, it's been now 12 months since we've completed those divestitures. This was the last quarter, then we will have a divestiture adjustment going forward. Moving on to margin. Segment operating margin was 27.1%, that is up 150 basis points from prior year. Adjusted EBITDA margin was 27.7%. That's an increase of 90 basis points from prior year. And net income was $980 million. That's 18.9% return on sales, just fantastic ROS performance. And lastly, adjusted earnings per share were $7.65. That's up 17% versus prior year. When you look at the quarter, this was just another quarter in which our team delivered high single-digit sales growth, solid margin expansion. And all of that resulted in mid-teens EPS growth. We do remain confident that we're going to be able to deliver another record fiscal year in 2026. If we move to Slide 11, this just displays the walk on adjusted EPS. You can see it was a clean quarter that delivered that 17% increase in adjusted EPS. Segment operating margin continues to be the main driver of our EPS growth. Dollars increased by $190 million or 16% that added $1.15 of our EPS growth. Share count was $0.16 favorable. That was really driven by the discretionary share repurchases that we completed over the last four quarters. And corporate G&A and income tax were favorable by just $0.1. Other was unfavorable by $0.18, that's really primarily due to foreign currency exchange that happened in the prior year period that did not happen this year. That was a prior period item. And interest is just slightly unfavorable by $0.03, and that is driven by just slightly higher average debt balance that was offset slightly by lower interest rates. The adjusted EPS of $7.65 is a record, and it's really driven by strong growth and great margin expansion. I really commend our team members around the world for just stellar operating performance across the company, and it's a pleasure to be able to share these results. If we go to Slide 12, let's take a look at the segments, starting with orders for the company and very strong. Orders were plus 9% versus prior year. And a positive note is order rates were positive in all of our reported businesses. Backlog increased to a record $11.7 billion. This was another quarter of strong incrementals for the company that created the record margins across the board and that 150 basis points of margin expansion, really nice to see. If we look at North America, sales were approximately $2 billion. Organic growth was positive of 2.5%. That was slightly better than our expectations. The slightly better was driven by strength in off-highway and the aerospace verticals in the North American businesses. Adjusted operating margins reached a record 25.4%. That is up 80 basis points from prior year with incrementals of 52%. And orders in North America took a big jump and increase to plus 7% compared to the prior year. And a notable driver there were a few multiyear aerospace and defense orders within those North American businesses. Nice quarter for the North American businesses. International sales were up to a record $1.5 billion. That's up 12% versus prior year. Organic growth for the quarter was 4.6% in the international businesses. In Asia Pac, organic growth was the strongest at plus 9%. And Europe turned positive in the quarter to plus 2%. We were really glad to see Europe turn positive. And Latin America is just down slightly 3% versus prior year. It was really a positive and see Europe turn to positive organic growth. We were glad for that team to see that finally make the turn. When you look at margins, our record was achieved 26% margins in the international businesses. That's up 190 basis points from prior year. And that margin expansion came from great improvements in productivity and just solid operational execution across all of those businesses. Orders improved in the international businesses plus 6 with positive orders both in Europe and Asia Pac. Nice quarter for the international team. And lastly, Aerospace continues to perform exceptionally well. Sales for the quarter were a record $1.7 billion, that's up 14.5% versus prior year. Organic growth was $13.5 million. That was driven by great strength in the commercial markets, both OEM and aftermarket. Margins are up significantly. Adjusted segment operating margin increased by 200 basis points and reached 30.2% for the Aerospace Systems segment. Again, great productivity. The higher volumes actually helped productivity. In that business. This was another strong quarter of commercial spares and repairs volume, and all of that translated to a fantastic performance on the margin line. Order rates remain impressive in Aerospace at plus 14%. Backlog also increased plus 14% and reached a record $8 billion for Aerospace for the first time in the history of the company. Aerospace and Defense remains robust, and that's really led by the commercial markets. Great performance across all of our businesses, glad to see these results. If we move to Slide 13, you can see our year-to-date cash flow performance, cash flow from operations, $1.6 billion, that's 16% of sales. Free cash flow came in at $1.5 billion, that's 14.2% of sales. Just to note here, in the first half, there's a slight drag from working capital and the timing of some tax payments. We expect that to be a first half only issue. I think everyone knows this, but as a reminder, our free cash flow is second half weighted. We remain committed to free cash flow conversion of greater than 100% for the year, and we'll talk a little bit more in guidance, we are increasing our guidance on cash flow for the year. Okay. That's the details on Q2. And Jenny, I will turn it back over to you on Slide 15 to talk about our increase to guidance.
Jennifer Parmentier: Thanks, Todd. This slide shows our updated fiscal year '26 organic sales growth forecast by market vertical. So in Aerospace, we are increasing our forecast from 9.5% to 11% organic growth. We continue to see strength in commercial OEM and aftermarket. Implant Industrial remains the same at positive low single-digit organic growth. Recovery continues while customer CapEx spending does still remain selective. Distributor inventories are stable and our distributors are ordering to their demand. In transportation, our forecast stays the same at mid-single-digit organic decline. Demand challenges persist in both truck and auto which is partially offset with some strength in aftermarket. We are raising our outlook in off-highway from neutral to positive low single digits. This is based on construction and mining growth, while ag remains under pressure. We are maintaining energy at positive low single-digit growth with robust power gen activity offset by upstream oil and gas, which remains soft. And we are maintaining HVAC and refrigeration at positive mid-single-digit growth. We see strength in commercial HVAC, refrigeration, filtration and aftermarket. As a result of these changes, we are increasing our organic sales growth guidance from 4% to 5% at the midpoint. Back to Todd for some more guidance.
Todd Leombruno: Okay. Thanks, Jenny. If you turn to Slide 16, you'll see some of the details that we're talking about based on what we've done in the first half, strong orders. We are raising our full year guidance really across the board here. Reported sales are going up to the range of 5.5% to 7.5%, more 6.5% at the midpoint. We expect currency to be a favorable 1.5%. That is based on December 31's spot rates. Previously completed acquisitions and divestitures basically offset each other at 1%. Jenny just mentioned this, but we are increasing organic growth to the range of 4% to 6%. That is 5% at the midpoint. If you look at the businesses, aerospace is being increased to organic growth of 11%. In the Diversified Industrial segment in the North America businesses, we are increasing organic growth to 2.5%. And finally, we are increasing international organic growth to plus 2%. Adjusted segment operating margins, we're raising guidance there by 20 basis points to 27.2% for the full year. That will now be a forecasted increase of 110 basis points versus prior year. And the forecast for incrementals for the full year is 40%, full year incremental. A few other items just to note, corporate G&A remains unchanged at $200 million. Interest expense slightly tweaked down by $5 million. We're now expecting that to be $45 million for the year and other expenses down slightly to $85 million. On tax rate, the guide for the second half is forecasted to be 22.5%. The full year tax rate is expected to be 22.1%. That's with a second half of $22.5 million. And finally, when we look at EPS, we're raising EPS to $30.70 at the midpoint. That's an increase of 12.3% versus prior, and the range on that adjusted EPS is plus or minus $0.30. I mentioned it earlier, but we are raising our full year free cash flow guide to a range of $3.2 billion to $3.6 billion. That is about $3.5 billion at the midpoint, with conversion greater than 100%. Looking specifically at Q3, reported sales are expected to be nearly $5.4 billion. That is approximately 8.5% up. Organic sales growth, we are expecting 5%. Segment operating margins, we are expecting 27% and adjusted EPS for the quarter is expected to be 7.75%. Each one of those is an increase to our prior guide. As usual, additional details can be found in the appendix here, and that is a wrap on our guidance. Jenny, I'll hand it back to you for Slide 17.
Jennifer Parmentier: Thanks, Todd. Just a reminder on what drives Parker, safety, engagement and ownership are the foundation of our culture. It's our people and living up to our purpose that drives top quartile performance that allows us to be great generators and deployers of cash.
Todd Leombruno: Okay. Katie, we are ready for the Q&A portion of the call, and we'll take first one in queue.
Operator: [Operator Instructions] Our first question will come from Jamie Cook with Truist Securities.
Jamie Cook: Congratulations on a nice quarter. I guess two questions, Jenny. First, when I look at your technology platforms, if we look at the technology platforms within diversified industrial motion systems, flow processing control and filtration and engineering materials I think it's the first quarter since June of 2023, where you saw positive organic growth across all three technology platforms. So just wondering, do you think that's something specific to Parker-Hannifin, -- do you think it's more a function of the cycle? Just very encouraging signs there. And then I guess my second follow-on question to that is it's the first quarter to that filtration has seen positive growth. Just wondering how you're thinking about that relative to the acquisition that's coming on filtration group signs that you bought that at a bottom? Or is there any reason why they wouldn't be seeing understanding the more aftermarket and a little different end market mix, why they wouldn't be seeing positive momentum there as well.
Jennifer Parmentier: Yes. Well, thanks, Jamie. Thanks for the question. So yes, so first of all, we do think that, obviously, you're right, those businesses did see positive organic growth, and it's great to see the teams have worked very hard for that, and they're performing well. I would say that it's a combination of what we're seeing in some of our short-cycle businesses that we've pointed out. While all of them are not returning to positive growth, we did see some nice improvement in off-highway. And then I would say the aerospace business that sits inside of these industrial businesses is performing very well. So to that point, what you said, some of this is specific to Parker and some of it is seeing some of the short-cycle business return. Our distribution did have low single-digit organic growth in the quarter. So we're encouraged by what we see, encouraged by the orders. So I think that's part of it. Your filtration group question was a long one. So I'm going to ask you to repeat that for me.
Jamie Cook: No. Sorry, my comment was just that interesting timing may be a complement that it's the first quarter we've seen positive growth in your filtration group business. Wondering that -- what that implies for the acquisition of the Filtration Group, implying that potentially you bought that business at a cyclical bottom, understanding there's different in mix because they're aftermarket. I'm just wondering there's differences between the business, but wouldn't -- could their sales also be improving organically just like we're seeing within your Filtration Group business?
Jennifer Parmentier: Yes, we do believe that, that will be the case. Now historically, Filtration Group's organic growth from pre-COVID to now has been mid-single-digit CAGR. So this is higher than Parker's Filtration Group. But many of the areas where we have the complementary technologies in the same markets with some of the same customers that we play, we do see that their growth will be increasing just as it is with ours. So again, we think that this is just a great fit for Parker because of the complementary and proprietary technologies that it adds and because they play in the markets that we know, where we expect to see growth. And again, they have this decentralized structure that's very, very similar to Parker. So we see upside here.
Operator: Our next question will come from Andy Kaplowitz with Citigroup.
Adam Farley: Jenny, could you give us a little more color on what you're seeing by region? I think Todd's comments around Europe were very interesting. Do you see that sort of turn as durable? And then your partners continue to do very well in APAC. Do you see still a good outlook for that in '26 and beyond?
Jennifer Parmentier: Yes. So just let me give you just kind of an overview of some of the market verticals by region. So -- as Todd mentioned, in North America, we're increasing our full year organic growth to 2.5% versus the prior guide of 2%. So again, industrial, aerospace and defense growth is very strong. Gradual in-plant industrial recovery, positive sentiment from our distribution channel, continued quoting activity. As I mentioned, CapEx remained selective. It seems like a lot of -- their customers are prioritizing productivity and automation projects versus large capacity expansion. So we see that increased infrastructure spending will increase in-plant industrial equipment demand in the future. I mentioned transportation is most challenged in auto and truck. Truck OEM recovery, not expected this fiscal year, but we'll benefit from some aftermarket. And again, strength in construction, off-highway construction, while [ ag ] still remains slow. Energy, power gen, very robust. Oil and gas is weak with upstream, but midstream is benefiting from some capital spending. HVAC is coming off of a strong fiscal year '25. Residential is down, but is more than offset with commercial HVAC and refrigeration. So this is what we see for North America. So international, we are increasing full year organic growth to 2%, and that was previously 1%. So they did have a fantastic Q2. This was primarily from some large project shipments that went out, which really helped them. But we are increasing full year FY '26 organic growth for EMEA to low single digits it was flat in our prior guide. Again, we see gradual improvement in transportation there, primarily on the truck side. We see continued strength in mining and energy, both oil and gas and power gen. And then we do see where the proposed stimulus and future defense spending is a long-term positive, but not seeing the impact of that this fiscal year. In Asia Pacific, we're increasing our full year organic growth to positive mid-single digit versus positive low single digit in the prior guide. We're seeing continued strength with electronics and semicon demand. implant orders and shipments. There's some progress there, but it still remains a little bit mixed. We're seeing some mining improvements in China. And I would say that there's still some continued uncertainty from tariffs across these markets. So that's really a kind of a recap of what we're seeing in the region.
Adam Farley: Very helpful, Jenny. And then Todd, you've continued to generate over 40% incremental margin. I know you've said you're still sort of guiding at 30% to 35%. But as you look forward, how long before after this good performance, do you say to yourself like you can do over 40%. And when you talk about price versus cost, is it better pricing? Is it execution? What's sort of driving this performance?
Todd Leombruno: Andy, thanks for noticing that. I'll tell you, it's not easy. It's a lot of hard work from our team members every day, every week, every month, every quarter. We are really proud to see what they've been able to put up there. We are guiding the second half at 35%. Incrementals are really across the company, that puts the full company to 40% for the full year. We still think that, that's best-in-class when you look at what's going on across the environment. We're really happy to see the industrial businesses pivot to positive organic growth. Those numbers are a little bit muted still. So I think our guide is unchanged when it comes to what we think is best-in-class on incrementals. If you look at these margins, these margins are all-time highs across every business. It is great to see that work, and that's generating these results.
Jennifer Parmentier: Yes. Strong operational execution.
Todd Leombruno: Yes. It's a line things. I could even give you like a list of the top three because it varies by business, and it depends on what opportunities exist across each and every business.
Operator: Our next question will come from Andrew Obin with Bank of America.
Andrew Obin: Just a question on international growth, I think you may have answered it, but I think if you sort of do the math, it just seems that sequentially the growth is going to slow down to 2% the midpoint in the third quarter. And then I think the guide sort of implies it stays there in the fourth quarter. And I think you sort of alluded to large projects. just thinking that the comp is similar from second quarter to third quarter, even easier in a 2-year stack, we're being conservative, or is there sort of specific dynamics taking place in international in 3Q or 4Q.
Jennifer Parmentier: Yes, Andrew, it was really they did benefit in Q2 from the timing of some large project shipments. And that was primarily power gen and commercial HVAC filtration and that was in EMEA. And that it kind of aligns with some of the choppiness of the orders from the prior year. So those aren't going to repeat in Q3. So we do forecast 2% and that's based on a continued gradual industrial recovery.
Todd Leombruno: Andrew, we basically doubled the guide there. We were one, we're now basically two. You look at that from what we thought would happen at the beginning of the year. we're pretty happy with what's going on there. The orders are also very impressive. But like we've kept saying is there are a number of longer cycle businesses that just don't necessarily need to ship in the second half of our fiscal year. We'll see those in the out months.
Andrew Obin: And also maybe sort of nitpicking here, but if you sort of back into growth by end market, you had a race for off-highway and aerospace and defense. But then the other segment sort of implies a big jump in the midpoint of the guys just to make the math work. Can you just comment with sort of thinking from plus 10 to sort of [indiscernible] 140. Can you comment on that? What's in the other segment, if I'm doing the math right?
Todd Leombruno: Yes. I don't know if I'm following your math there. Andrew, Jenny went through the logic behind the increases that we've seen by market vertical. Obviously, aerospace continues to be stellar. We have a significant amount of aerospace in the industrial businesses. That was a driver, and we bumped up off-highway a bit.
Jennifer Parmentier: And one other thing to add, some of what sits in the other, obviously, is electronics, and what you see in there is some data center, which is still less than 1% of our sales, but it's been very strong. It's been some nice growth for us. So that may be part of what you're not seeing in our numbers.
Operator: Our next question will come from Joe Ritchie with Goldman Sachs.
Joseph Ritchie: So Jenny, great color is always on the end markets. I guess just a broader question. With reshoring and all the investment that's already occurred here in the U.S., like what's your -- I know it's hard to have a crystal ball, but like what's your take on what's happening with implant equipment in the U.S.? And then we'll get the going, what are you guys looking at specifically as kind of leading indicators for the like short-cycle inflection?
Jennifer Parmentier: Yes. So we get a lot of intel from distribution. And we continue to say that this is gradual. But the sentiment is still positive. And I've been saying that for quite some time because the distributors do talk a lot about all of the quoting activity. But I would say in the recent conversations, the CapEx remains selective. And the customers are prioritizing productivity and automation projects versus large-scale capacity expansion. And you see that in pockets, and that's why we consider it gradual because you'll see some in different markets. And I think we're going to continue to see this gradual recovery, and we're going to continue to see better numbers in some of these markets that we've talked about. But I don't know that there's just one catalyst to get this short cycle going. It's really, I think, a matter of taking out some of the noise that really doesn't have anything to do with the business, some of the geopolitical noise, tariffs and maybe possibly interest rates as well.
Joseph Ritchie: Yes, that makes sense. And then I guess maybe just for Todd, just a quick question. Like the Aero business has been doing great. Margins were above 30% in the first half the guidance implies as a step down in the second half? Just anything we need to be aware of from a mix standpoint, and why they would step down in 2H?
Todd Leombruno: No. We called out high spares and repairs in Q2. Those are great. The business is high. It's hard to predict that going forward. So we've not put that into our forward guide there. But I would tell you, the activity is robust. The team is doing a great job converting serving our customers and you look at those margins that we're forecasting. It's still showing 60 basis points improvement from prior year, and it's high 29%, mid- 29.5% type range. So we feel pretty good about giving you a guide with those numbers.
Operator: Our next question will come from Scott Davis with Melius Research.
Scott Davis: Jenny and Todd, Jeff, congrats the great start to the fiscal calendar year here, a couple of quarters in a row I know you guys don't love to talk about price, but given inflation, like recent commodity prices and some of your input costs, I'm sure even in things that may be derived from things like natural gas and obviously metals. But is it an increasing -- are you able to drive price kind of in time? I know with -- in some of your products, it runs through distribution, that's less of a challenge sometimes, but perhaps for a lot of the product goes through OE, it could be a little bit more of a challenge. Is there some risk mitigation there that's going on at present? Are we being a little too paranoid, or are you guys  -- add any color there that would be helpful.
Jennifer Parmentier: Yes. With some of these commodity prices, Scott, we're handling this like we have any other inflation or issues that come about. That pricing muscle is strong. And we've had a long history here of being able to handle these things. But it's ongoing, and I would say that it's nonstop, right? We have to respond to these things and make sure that they don't impact our our EPS, and they have it, and they won't.
Todd Leombruno: Yes, Scott, I would just -- you obviously are a following of our margins. You can see our margins. Every one of the businesses posted a record margin number for the quarter. And I would tell you, the eyes on cost and the ion price, that's a muscle that never goes out of style here at Parker. So we're all over it.
Scott Davis: Fair enough. And then just a quick follow-up. The time line you give to close Filtration Group kind of 6 to 12 months so you could drive a bus for that. But what are the major gating factors just kind of standard antitrust issues that could get pushed or pulled one direction or another, or are there other hurdles?
Jennifer Parmentier: Yes. No. just the standard regulatory filings and the process that we have to go through.
Operator: Our next question will come from Steve Tusa with JPMorgan. Our next will come from Amit Mehrotra with UBS.
Amit Mehrotra: But I guess I just wanted to ask, I joined a little bit late, so forgive me if I -- this is [indiscernible] ask, but if I -- I want to talk about the 2Q performance, which obviously was better and then how that corresponds to the full year guidance increase. It doesn't seem like you assume much of the 2Q goodness into the second half. And then also, I'm sure you addressed this, so I apologize, again, but talk about the North American margin decline a little bit for the full year and what the reason for that is?
Jennifer Parmentier: I'll answer that question for you, and then Todd will follow up. So there's nothing about the North American margin other than Q2 mix was not as favorable as Q1. That's all that's there. Listen, Q2 is a record for us, 80 basis points of margin expansion, 52% incrementals. The team is performing very well. And for we increased the margin to 26%. So we took that up. And for the second half, we're not reducing the North America margin.
Todd Leombruno: Yes. If you look at the second half, as Jenny said, we're basically 26.5% in the second half for North America. That would be an all-time record for North America, and that will put the full year up by 80 basis points. So I just reiterate what Jenny said. Q1 was exceptional. Q2 was a record, right?
Amit Mehrotra: Yes. Fair. Okay. Totally get it. And then just maybe 1 other kind of bigger picture question, Jenny, related to that, the pricing commentary, I think, to Scott's question. If I just look at Parker's organic growth over the last decade, it's basically averaged a couple of percent per year for the entire company. In fact, North American Industrial has been 1.5 points. And when you incorporate price, it's just the implied volumes are actually down over the last decade. I guess my first question is, do you agree with that observation? Is that a fair observation? And then second, maybe what explains that lack of volume? And maybe we've been in an industrial recession for a decade. I don't know -- but at some point, price and margin get incrementally harder and we just need to see some through cycle volume growth. I would love to get your perspective on that.
Todd Leombruno: This is Todd. I'll jump in and Jenny, you could add any color, if you like. When we look at what we are doing in North America, first of all, it's hard to look at the company over the last decade because the portfolio has changed tremendously. When you look at the three acquisitions where you look at where our growth has been way more engineered materials, way more filtration and a heck of a lot more aerospace and defense within those industrial businesses, both in North America and international. The company has never been more focused on organic growth. We have a long-term target of 4% to 6%. We are guiding 4% to 6% this year. So we were right at our target. It has been 2-plus years of choppiness in the industrial markets. So I would tell you the company has never been more aligned on organic growth. And I'm really proud that we're able to generate these record margins in a not-so-great organic growth environment. So I don't think there's too much to read in there. When you look at what we are doing from a margin and a conversion standpoint, the team is really much driving great performance here.
Operator: Our next question will be from Steve Tusa with JPMorgan.
Unknown Analyst: Can you hear me now? .
Todd Leombruno: We've got you, Steve.
Jennifer Parmentier: I can.
Unknown Analyst: A lot of questions have been answered, and there's a lot of good detail in the materials. Just curious on the construction side, you guys are like a little more positive than others. Is that just like the data center stuff? Or is there -- are there other things you guys are seeing out there?
Jennifer Parmentier: I would say that's a small part of it, but we're actually seeing an increase in the construction equipment.
Unknown Analyst: Okay. And then just lastly, on the fourth quarter, being a bit below consensus. And anything to call out there mechanically as to why the fourth quarter is, I guess, just a little bit weaker than what we would have thought.
Todd Leombruno: No, I don't think there's anything -- Steve, this is Todd. I don't think there's anything specific that we called out there. When I look at what we have laid out here for the fourth quarter, every single number is an all-time record. The fourth quarter is normally our strongest quarter of the year. We are forecasting fourth quarter to be the strongest quarter of the year again and in Q3 in makire we deliver our commitments for Q3, but there's nothing that has us concerned about Q4.
Jennifer Parmentier: No, no concern.
Operator: [Operator Instructions] Our next question will come from Julian Mitchell with Barclays.
Julian Mitchell: Maybe just to focus on some of the end market trends. So looking at Slide 15, just wanted to understand, perhaps when we look at the far right-hand side column of the full year growth rates. When we look at Q4, sort of which of those growth rates as you see it are most different from the full year numbers? Just trying to understand kind of inflections or changes or if it's easier to explain any color on how the first half trended for those respective markets beyond A&D.
Jennifer Parmentier: Well, when you look at -- let's just look at off-highway, for example, we started off with negative low single digit on our initial guidance back in August. And then we looked at to neutral in Q1. And then we moved it -- just moved it now to positive low single digits. So that's just keeps going up. So that's one that I would highlight. And when you look at -- obviously, you pointed out aerospace, we're continuing to increase that. But when you look at the rest of the markets, the industrial markets, they remain the same. We've seen too bright spots within them that we've pointed out. But implant and industrial still saying at positive low single digits. When you look at transportation, negative mixed single digits, like we said, we're not seeing anything right now that would change our mind about that through this fiscal year. And then the same for energy and HVAC and refrigeration, we're maintaining those from initial guidance.
Julian Mitchell: Got it. Maybe within A&D, if you could just refresh us perhaps on the end market outlooks for the various pieces for fiscal '26, another company talks about sort of normalization of outsized commercial aero aftermarket growth, but I feel people have been guiding for that for sort of three years running now. So just any thoughts around the market pieces of A&D?
Jennifer Parmentier: You bet. So we expect commercial OEM to be around 20% growth. We previously had that at mid-teens. We expect commercial aftermarket to be at low double-digit growth. So we previously had that at high single digit. So we just -- and in Q1, that was 13%. So we still see strong commercial aftermarket. We expect defense OEM to be around mid-single-digit growth, which is the same as last quarter. And defense aftermarket is at low single-digit growth. That was previously at mid-single-digit growth, but still in a good spot, just a small change there.
Operator: Our next question will come from Jeff Sprague with Vertical Research Partners.
Jeffrey Sprague: One Jenny. Just wanted to come back to just kind of orders and sales. Obviously, kind of in the industrial businesses, we've got more long cycle, and we've talked about that a lot, including on the call here today. But I'm also just observing that orders have outpaced sales now for 8 quarters, which I've never seen that long of a run. So maybe you could just speak to, is it reasonable to think that those do reconnect at some point in time where there's just that much more long-cycle stuff in the backlog, and obviously, at some point, things will cycle and they'll cross over. But in terms of kind of them coming together during an up cycle, do you think we continue to see kind of a persistent gap there.
Jennifer Parmentier: Yes. Jeff, it's a good question. I mean, we're clearly a longer-cycle business today than we have been in the past. But it is hard to put a figure on conversion timing as it really is determined by the customer delivery schedule. We, obviously, with higher aerospace and defense in the Aerospace segment as well as in our industrial businesses, we do have a lot of multiyear orders that fall into those buckets. So that definitely has an impact. And what we see from a short cycle standpoint, as I've mentioned a couple of times, it's a gradual short cycle recovery, some markets sooner than others.  Implant in our distribution business, we think they're going to benefit from both CapEx and OpEx. So again, I pointed out we saw low single-digit positive growth in the quarter. And those long cycle and secular trend businesses HVAC, energy, they're continuing to really be strong. So record backlog, orders are in a good position, but hard to connect the dots there.
Todd Leombruno: Jeff, on the good side, it is giving us better visibility. It is allowing us to level load our operations. It is part of what's driving the consistency in our performance across all of the operating businesses. And again, I think not as much credit as given to the transformation of the portfolio and like I said, we are a different company than we were 2, 3, 5, 10 years ago. So it's still an important metric. We watch it every day, as a matter of fact. And we're really happy that orders have turned positive across every business, and it's a positive outlook for the future.
Jeffrey Sprague: Yes. And we don't have the industrial backlog. I don't think you could share it, that would be interesting. But yes, Industrial backlog was down in Q1, right? But it looks to me if it was even flat sequentially here in Q2, then we're starting to get to backlog in Industrial also inflecting higher. Is that sort of what you see in the business?
Todd Leombruno: Yes. I believe that's exactly what we're seeing here in the...
Jennifer Parmentier: Industrial backlog has gone up in Q2. Yes, Industrial backlog went up. It remains in the mid-20s, and it grew from Q1 to Q2.
Jeffrey Sprague: Okay. Yes, which means that it's nicely up versus last year, which reflects the order versus sales gap. Great. Now I appreciate that color.
Operator: Our next question will come from Joe O'Dea with Wells Fargo.
Joseph O'Dea: I wanted to circle back to the implant comments and just customer kind of prioritization of spend around productivity and automation over some of the capacity expansion. I think we've been in that kind of environment for for some time at this point. Maybe just spend a little bit of time on what that means for their spend, like the wallet that goes to Parker. And when we think about it on the productivity and automation side versus the capacity expansion side. And if we were to see a pivot toward capacity expansion, what that would mean for you?
Jennifer Parmentier: Well, the good news is, is we participate in both scenarios, right? I mean when there's any type of retooling done or upgrading done or retrofitting done, our distribution channel and sometimes many of our divisions participate in that directly. And then some of the examples we've given in the past is when there is capacity expansion that is actually new factory, new building, we're participating from the time that they start clearing the land. And all the way through the putting the walls up, putting the infrastructure in. So Parker gets a nice share of the wallet in both situations. It is just still a grand recovery, though, in our distributors, again, positive sentiment, working with a lot of those small and midsized OEMs, they're participating in these things. They're ready. They're ready to participate at a higher level. But right now, what we have for them is we see for industrial growth is about 2% to 2.5%.
Joseph O'Dea: Got it. And then just on your own CapEx plans. You've raised the guide a little bit last quarter, maintained it this quarter. It's up about $100 million year-over-year. So some nice growth there. Maybe just elaborate on that and whether there's anything on the capacity expansion side? Is any of that targeted around as you're starting to highlight off-highway a little bit and then some of the activity you're seeing there. Just to understand where that higher spend is going?
Jennifer Parmentier: Yes. We are definitely investing in our businesses. We have investment around automation and productivity. And we do have capacity expansion on both sides of the business. So it's important to us to be able to keep up the level of service and world-class manufacturing. And as our team use Kaizen tools to improve the processes that we have. We're always looking to make those processes better. So a lot of investment in our factories.
Operator: Our next question will come from Chris Snyder with Morgan Stanley.
Christopher Snyder: So I want to follow up on some of the earlier conversation around cycle trends. You guys have as broad exposure as anybody, both on an end market, but also a geographic basis. So just kind of maybe simply, when you look across all this exposure, is there anything that you think will be worse a year from now where you're seeing signs that there is pointing to next 12-month deterioration?
Jennifer Parmentier: I don't see anything now. I'm not hearing anything or I don't see any indicators that would cause us to think the the forecast we have out there now for these market verticals is going to get worse. I don't see anything.
Todd Leombruno: Yes, Chris, we called out backlog in total. Backlog is a record. Orders have been positive for some time now. Historically, that has been a positive sign for future growth for Parker-Hannifin.
Christopher Snyder: I was just wondering if there was anything that wasn't like stable to improving. And then I guess maybe just following up on that. It seems like at least a good chunk of the North America order pickup with some of the long-cycle businesses. But did the shorter cycle businesses also see positive rate of change on orders? And any color on the specific end marks, I would imagine construction and some of them we're seeing momentum.
Jennifer Parmentier: Yes. Yes, we definitely saw some positive orders in implants and off-highway and energy. So definitely, it wasn't all aerospace and defense, but there were some multiyear aerospace and defense orders that hit our industrial businesses that really caused that jump from 3% to 7%. But positive orders and implant off-highway and energy.
Todd Leombruno: Hi, Katie, this is Todd. I think we have time for maybe one more question before we wrap it up at 12:00.
Operator: Our last question will come from Brett Linzey with Mizuho.
Brett Linzey: Wanted to follow up on Filtration Group. I imagine the teams are already getting a running start on some of the integration and preplanning. Any early observations on confidence around cost synergies? And then as you've been mapping the combination, any early view on the sales synergy side?
Jennifer Parmentier: Thanks for the question, Brett. We're as I said, we're just really excited about the filtration group. So we are very confident in our ability to deliver that $220 million in synergies by the end of year 3. And part of our diligence process was several plant visits, and that's what gives us that confidence. We are working with the team. We we don't own them yet. So we're building relationships. We're getting that integration playbook going. We have the integration team assembled here on the Parker side and we'll shortly with the filtration group side, but really feel very confident about the synergies. We didn't model any revenue synergies, but we feel that there's opportunities to utilize the customer relationships that we both have to deliver value to customers. So we think that, that is going to give us some upside. And then we'll look at the distribution networks and see what makes sense and learn and be focused on our organic growth with this acquisition, just like we have in the last.
Brett Linzey: That's great. And then just a quick follow-up. So just close the loop on tariffs, so calendar '25 in the books. Can you update us on what the annualized tariff expense that you absorbed. And as you progress through the mitigation measures, is it fair to think that as you get into the second half of calendar '26 that you do have the potential to drive better than normal incrementals as you're lapping some of that expense paying?
Todd Leombruno: Brett, this is Todd. The tariffs obviously have been pretty volatile. I don't want to make any predictions on what's going to happen with tariffs, or what has happened with tariff. I would just tell you, rest assured that we haven't covered. You have not heard us call out any negative impact from tariffs. You look at these margins, these margins are all-time records. We're really positive now that the majority of the company has returned to positive organic growth. And we're going to manage whatever happens as it happens and just be as clear as transparent with our customers as we possibly can be. So that's the way we're running it.
Jennifer Parmentier: That's right.
Brett Linzey: Congrats on the quarter.
Todd Leombruno: Thanks.
Jennifer Parmentier: Thank you.
Todd Leombruno: All right, Katie, I think this wraps up our time here. This concludes our FY '26 Q2 earnings release webcast. We do appreciate everyone's time and attention. We thank you for joining us today. If there are any needs for follow ups, our team will be available as usual, Jeff Miller and [indiscernible] will be available for any kind of follow-up that's needed. Thank you, everyone, and have a wonderful day.
Operator: Thank you. This concludes today's call. We appreciate your time and participation. You may now disconnect.